Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Lam Research Corporation March 2013 Quarterly Results. [Operator Instructions] At this time, I'd like to turn the conference over to Shanye Hudson, Senior Director of Investor Relations. Please go ahead, ma'am.
Shanye Hudson: Thank you, Vince. Good afternoon, everyone, and welcome to Lam Research Corporation's quarterly conference call. With me here today are Martin Anstice, President and Chief Executive Officer; and Doug Bettinger, Executive Vice President and Chief Financial Officer. During today's call, Doug will discuss our financial results for the March 2013 quarter. Martin will then share Lam's business outlook for the June 2013 quarter before we open the call for Q&A. The press release detailing our financial results was distributed over the wire services shortly after 1 p.m. this afternoon and is also available on our website at lamresearch.com. Today's call contains certain forward-looking statements, including those related to our expectations of market size; the timing and quantity of wafer fab equipment spending; the revenue expectations of shipment to our Japanese customers; technology trends and transitions that may affect our business; market share changes; consumer demand, customer spending and behavior and the factors that will influence those expectations; our spending projections, investment plans and business focus and strategies; the positioning of Lam's products and services; the completion dates of various projects, such as our ERP integration, share repurchase activity and shipment of beta units for new products; our expectations of the benefits resulting from our Novellus acquisition; our intentions for research and development activities; our contemplated tax rate; and our forecast of cost savings, market share, shipments, revenues, expenses, margins, operating profit, earnings per share and cash generation both on a GAAP and non-GAAP basis; as well as other statements of the company's expectations, beliefs and plans. There are important factors that can cause actual results to differ materially from those described in these forward-looking statements, and a list of these factors can be found in the slide package accompanying this conference call and on our most recent Form 10-Q filed with the Securities and Exchange Commission. All forward-looking statements are based on current information, and the company assumes no obligation to update any of them. This call is scheduled to last until 3:00 p.m. [Operator Instructions] And with that, I'll turn the call over to you, Doug.
Douglas R. Bettinger: Thank you, Shanye, and let me add my welcome to everyone on the call. During the short time I've been here, I've been coming up to speed on our business by having extensive one-on-ones and by attending our management meetings. I've had the opportunity to get to know something about Lam's people, processes and products, and I just thought I'd let you know that I've been very impressed with the caliber of this management team and equally impressed with the way we run the company. For today's presentation, I'll start by reviewing our March quarter results, which will include an update on our merger-related cost synergies. I'll finish up with a few comments regarding capital deployment. And before I jump into it, I should point out that the numbers I reference today will primarily be our non-GAAP numbers. Our March quarter results provided a solid start to the calendar year, as evidenced by performance that was above the midpoint of our expectations on most of our guided metrics. Overall, total shipments were up 12% quarter-over-quarter to $896 million. This was driven by continued strength in the foundry segment at the 28-nanometer node. During the quarter, approximately 87% of our system shipments were for applications at the sub-4x technology node. This compares with 78% in the December quarter. At a segment level, foundry shipments accounted for 56% of the total system shipments. This is up from 51% last quarter. The memory segment made up 31%, up from the low of 20% in December. Of that 31%, NAND flash constituted 15% and DRAM was 16%. The remaining 13% was made up by logic and other shipments. Revenue came in at $845 million, which was $15 million better than the midpoint of our guided range and down 2% sequentially. Revenue was a little stronger than we expected, driven by multiple customers in our deposition business. Gross margin was 43.9%, a little bit better than expectations and down slightly from the December quarter, which was 44.2%. From a cost of goods sold synergy standpoint, a number of new supplier agreements took effect this quarter, and we have started to see some of those cost savings. We expect those savings to accelerate in the back half of the calendar year. And as we planned, operating expenses for the quarter were $296 million, which was up from $281 million in the prior quarter. During the quarter, we made progress toward our OpEx-related cost savings. We expect the completion of our ERP systems integration project to contribute towards achieving the remaining portion of the OpEx synergies. And I'll just let you know, system testing is well underway, and our team has done a solid job keeping the project on track to our original schedule. We expect the implementation of the newly combined system following the close of our fiscal year. And to date, we have achieved approximately half of the overall targeted cost synergies. Now let me provide you a short commentary on 450-millimeter. Consistent with the timing of our customers' stated plans, we see our investments in 450 programs ramping in 2013. This is an area where we expect to deliver significant synergy benefits to the customer, as well as the company. We have successfully merged our engineering team activities and are executing plans to drive commonality across many aspects of our etch, deposition and strip platforms. We are closely managing our investments to meet both our customers' requirements for 450 while strengthening our competitive differentiation for the remaining 300-millimeter production nodes, which are critical to the success of our customers over the next 5 years. I'll close out my spending discussion with the comment that we remain focused and committed to not exceeding the spending levels that we discussed during our recent Analyst Day of 305 millimeters per quarter at the $1 billion revenue run rate. Operating income was $75 million and operating margin was 8.8%. Our tax rate for the quarter was a negative 5.6%, which was lower than we expected and down from 17.3% in the prior quarter. Our favorable tax rate this quarter is primarily attributed to the jurisdictional mix of income, as well as the extension of the federal R&D tax credit. Taxes had a positive impact on our EPS this quarter of approximately $0.02. We would expect a rate -- a tax rate for the fiscal year in the high single digits. Based on a share count of 169 million shares, earnings per share for the March quarter was $0.44. The share count includes the dilutive impact of approximately 2.7 million shares related to our 2041 convertible notes. And just a reminder about these. Whenever our average quarterly stock price is above the $35.11 conversion price, these notes have a dilutive impact. In the March quarter, our average stock price was $40.71. To help you understand the dynamic from these notes better, we've posted a dilution schedule on our Investor Relations website. Now let me move to the balance sheet. We ended the quarter with gross cash and short-term investments, including our restricted cash, of $2.5 billion. Approximately 30% of this was onshore. This compares with gross cash of $2.7 billion at the end of the December quarter. Cash is down a bit from the prior quarter as we continued executing share repurchases and we paid our annual bonuses. And I'd just point out, cash net of debt and the restricted amounts was $1.1 billion. DSO came in at 63 days and inventory turns were 3.7. We ended the quarter with deferred revenue of $327 million, which excludes approximately $50 million in shipments to Japanese customers that will revenue in future quarters. Cash from operations was $102 million, with approximately 20% of this generated onshore. Our cash generation this quarter was negatively impacted by those annual bonus payments I mentioned, as well as the growth in inventory to support our growing shipment plans. Company noncash expenses include, among other items, $26 million for equity comp, $45 million for amortization and $30 million for depreciation. Capital expenditures were $35 million, and we ended the quarter with approximately 6,500 regular full-time employees. And finally, I wanted to provide an update on our share repurchase activity during the March quarter. We spent $214 million and took delivery of approximately 5 million shares of common stock. This substantially completes our previous $1.6 billion share repurchase authorization. Additionally, as I'm sure you saw today, we announced a new share repurchase authorization of $250 million, which we expect to be completed in 2014. I just thought I'd let you know, I spent a decent amount of time working with the team looking at capital structure since I joined the company in early March. Given a largely offshore distribution of our cash, as well as cash generation, as well as the current uncertainty with regard to corporate tax reform, we believe ongoing share repurchases to be the best use of cash at this time. I would like to tell you that we're committed to an ongoing return of excess cash to shareholders, and we will continue to evaluate the best ways to do that. With that, I'll turn the call over to Martin for further color on the quarter.
Martin B. Anstice: Good afternoon, everyone, and thank you for joining our call today. Before I begin, I would like to officially welcome Doug to Lam Research. As expected, Doug brings a solid financial track record and extensive leadership experience to the company. He is quickly assimilating to Lam's culture, and I'm very pleased to have him as a member of the leadership team as a true business partner. Many of you will have an opportunity to meet with him in the coming weeks and months as we plan Investor Relations activities. I'm sure you will quickly come to appreciate his strengths. In the meantime, we've had a nice start to calendar 2013. As Doug just articulated, we delivered solid financial performance for the March quarter, meeting our expectation. We continue to position Lam products and services for market share growth. We realized incremental cost savings and remain on track for achieving our run rate synergy targets by the calendar year end. And we concluded our $1.6 billion share repurchase authorization, retiring approximately 44 million shares, faster than originally targeted, at an average price of approximately $36. Previously, we shared an expectation for the merger to be accretive to earnings in the June quarter of this year. Worthy of note, we have delivered earlier against this objective also. March 2013 was the second straight quarter of accretion with and without the benefit of the incremental share repurchase activity. Two such data points do not guarantee all our integration objectives will be realized, but the company is truly operating as one company at the customer interface. Our ability to pursue opportunities and manage risks is undoubtedly stronger together than was true 1 year ago as 2 stand-alone companies. The ongoing and integration-related accomplishments of Lam, we believe, are significant. They reflect the substance of our vision and the talents and dedication of our employee population globally. I'd like to take this opportunity to thank them all and to thank our customers and our suppliers for their continued support and partnership. I'll now take a few minutes to share our perspective on the industry. In many respects, things are generally playing out as expected. The trajectory of our performance is positive, supported by our shipments guidance for the June 2013 quarter given today, which will represent an activity level 34% higher than only 6 months ago. Most of that appears to be acceleration in timing of planned investments, hence, our decision to retain our outlook for 2013 WFE spending at the $30 billion level approximately. We expect the current strengthening, which is predominantly in the memory space, to ultimately lead to a more balanced first half versus second half weighting of high 40s, low 50s, respectively, for calendar 2013. Starting with the DRAM segment, the pricing conditions have clearly improved over the past couple of quarters, supported by healthy demand for mobile and server products. These non-PC DRAM segments account for more than 60% of overall DRAM bit consumption today. As a result of these conditions, DRAM manufacturers generally appear to be increasing the pace of their conversion plans to transition existing capacity to the 3x and 2x technology nodes, although original equipment purchases for capacity are clearly rare. We believe that DRAM capacity is reasonably fungible, meaning manufacturers can convert, relatively quickly, mobile and PC DRAM output. We still project minimal new capacity additions this calendar year and between 450,000 and 500,000 wafer starts of capacity conversion. This activity supports overall DRAM bit growth in a range of 25% to 50%, and our analysis suggests pricing should remain healthy, with very tight supply for the foreseeable future. Still, today, the NAND segment represents the most difficult to predict and largest swing factor of spending. But this is largely a debate about the final quarter of this year and the first quarter of next, we believe. Similar to DRAM, we're seeing a couple of NAND manufacturers pull in the timing of their next-generation investments. We continue to believe that the demand for flash memory is an attractive growth opportunity in the industry, for our customers and for Lam. We have essentially maintained our full year calendar '13 view of NAND's WFE spending at this time as we still expect manufacturers will be receiving a similar level of capacity, as anticipated in our last call. The dominant capacity additions are playing up, but relative to 3D NANDs, we continue to project initial capacity shipments occurring towards the end of this year. Our outlook for both foundry and logic segments has not substantively changed either. Investments for 28-nanometer capacity have been strong, and we expect that to continue over the next 1 or 2 quarters prior to decelerating and broadening the number of customers in the second half of the year. The 20-nanometer investment should commence in earnest around that same time, with an estimated 30,000 to 50,000 wafer starts of capacity shipped to our customers by the end of 2013 across the industry. In the logic space, the second half story appears to represent a strengthening of original equipment additions, at least in our served markets, compared to the first half of the year. In this environment, Lam is executing our multiyear growth strategies in etch, deposition, clean and our installed base business. Consistent with what we shared during our recent analyst events, we are focused on aggressively defending our existing positions to realize growth potential in areas where our served markets are expanding, particularly around the so-called inflections; consistently driving incremental market share gains for the existing product portfolio; establishing opportunities to win together with our customers as productivity of an installed base becomes ever more important; and strengthening the competitive differentiation of Lam in existing served markets and leveraging into broader semiconductor capital equipment applications, such as packaging, as opportunities exist. In 2013, we believe we gained 1 point or 2 of market share in etch, supported by the expansion of double patterning applications in the foundry space and our investments to increase differentiation around the inflections generally[ph] . We are positioned to gain a couple of points in deposition, with the initial production buys for 3D NANDs capacity occurring at the same time we enjoy a significantly expanding deposition-served market. This is being supplemented by some important wins in the packaging space and also logic or deposition. In addition, we're focused on defending our existing single-wafer clean positions to hold share relatively flat while successfully introducing our next-generation clean product, enabling more comprehensive growth opportunity for the company in the coming years. Starting with etch. Lam has historically focused on delivering differentiated technical solutions at the leading edge. We believe this capability offers our customers a sustainable technology advantage while strengthening our ability to maintain our existing positions and grow. One example is in the area of multi-patterning. Multi-patterning applications have been in production on memory devices for a couple of generations, and Lam is the conductor etch market leader for the critical patterning steps. These critical processes require very precise and uniform control across the entire wafer to define the features. Lam's ability to precisely control critical dimensions uniformly across the wafer has enabled our leadership position. As foundry and logic manufacturers transition to the 20-nanometer node, we estimate between 5 and 15 multi-patterning steps will be required. These steps represent between $20 million and $30 million of incremental opportunity for the company per 10,000 wafer starts of capacity added. We believe that we are well positioned for these opportunities once production buys begin later this year and anticipate that our market share in etch multi-patterning will be at least as high as our average market share position overall. Similarly, we've established strong positions in critical dielectric etch with NAND manufacturers to support developments of their 3D NAND's devices. These vertical NAND structures are built up from 24 or more layers of alternating films, which creates significant challenges for etch suppliers to deliver uniform processed results at high productivity. Lam has demonstrated the ability to address these challenges, which supports our confidence in expanding our dielectric etch share. Now turning to the $2 billion to $2.4 billion deposition served markets, where we are -- where we currently enjoy #1 or 2 market share leadership in each segments of the business. With the transition from planar to 3D NAND devices, we estimate our served market could grow by more than 50% in that area. This is an important headline relative to future growth. Pausing for a moment, creating the complex films stacked in the 3D structure I just described requires uniform defect-free deposition also at very high productivity. The combination of Lam's multi-station sequential processing and small footprints of our PECVD toll [ph] provide a throughput density advantage for our customers as they continue to require reductions in the overall cost of ownership. To help optimize device power and speed, the contact and control lines require low-resistivity tungsten fill, which is free of voids. Lam is very well suited to deliver these capabilities for the challenging high-aspect ratio contact and re-interim [ph] profiles with our extreme fill technology and film offerings. In critical etch and deposition combined, Lam is well positioned for the transition to 3D NAND having one key development full of record precisions. Our position in 3D NAND is improved over the planar device structure in market size by between 35% and 55% and planned market share gains in the low to mid-single-digits. We have strengthened our presence in the advanced packaging space also, having won multiple development and production decisions for through-silicon via copper Electrofill and other advanced wafer-level packaging applications. While the market is still emerging, these wins position us well for future growth in deposition. This month, we shipped our 500 SABRE system. Our tool is widely recognized as the industry workhorse for copper Electrofill and is used by 90% of the production facilities running copper damacine processes today. Last but not least in single-wafer clean, we continue to focus on supporting existing customers with the current product line and developing our next-generation product. We've made excellent progress to that end, demonstrating ultra-low defectivity performance in our labs necessary to meet process requirements for the 10-nanometer node. Our system is designed for lower cost of ownership by combining a high-productivity platform with advanced retained capability to reduce chemical costs. We are encouraged by the customer poll initially for our product and remain on track to begin shipping beta units in the middle of this calendar year. Overall, our customer, company, individual core value guides us each and every day as we architect the strategies to increase our value by developing next-generation technology capabilities and productivity solutions that provide our customers with their competitive differentiation. Related, we are pleased to have been recognized by 3 customers during the March quarter for our efforts in these areas, and for the first time in well over a decade, Lam was recognized by Intel, receiving their 2012 Achievement Award for Excellence in Technology. Our non-GAAP guidance for the June 2013 quarter, which underpins the targeted performance communicated in our financial model at our latest analyst event, is as follows: shipments of $1,075,000,000, plus or minus $30 million; revenues of $975 million, plus or minus $30 million; gross margin at 44%, plus or minus 1%; operating profit at 13%, plus or minus 1.5%; and earnings per share of $0.70, plus or minus $0.07, based on a share count of approximately 168 million shares. This guidance represents a 40% operating income flow-through on higher revenues sequentially at a time when we invest to support the trajectory of higher shipments and execute against our stated R&D plans of record to enable our long-term growth ambition. Finally, I would like to communicate plans to host our 2013 Investor and Analyst event on July 9 in conjunction with the SEMICON West show in San Francisco. Although it's only a short time since our past November event, we plan on re-establishing our customary midyear communication. We expect to reiterate the stated vision objectives of the company and provide further insight into the progress we've made against key strategies we've previously described. With that, Doug and I will now be happy to take your questions.
Operator: [Operator Instructions] Our first question is from the line of Timothy Arcuri with Cowen and Company.
Timothy M. Arcuri - Cowen and Company, LLC, Research Division: Two things. First of all, obviously, there was a pretty big memory pull-in into June. If I sort of back into what the overall WFE pull-in was using your share, it's probably like $1 billion worth of WFE. It looks like it might have pulled into June. But yet you didn't increase your full year number. Is that just due to the Intel cut? How should I think about that? And then I had a follow-up.
Martin B. Anstice: Yes, I think in the context of memory, we, for sure, don't have all of the answers to the question, Tim, but there seems to be a remaining consensus around 25% to 30% bit growth for DRAM and the kind of mid-40s to high-40s level for NAND flash. And that's kind of the governing condition for capital. And so lacking any data points around a demand curve, we felt like it was appropriate for us to kind of keep the WFE number for memory essentially where it was previously. And things change and that gets stronger, then clearly, we'll revise that later. But we didn't have a basis to necessarily conclude life was going to be stronger than we previously anticipated.
Timothy M. Arcuri - Cowen and Company, LLC, Research Division: Got it, Martin. And then just a quick question on the timing on 3D. Some of the big producers of NAND have recently said that there's not going to be meaningful 3D production for another 2 to 3 years, yet you're seeing some orders begin to happen and some production that might start to ramp the end of this year. So can you help bridge that gap? Is there just differences in timing among all the producers? Because there seems like a big difference, and it really sort of underpins some of the thoughts around just the NAND industry.
Martin B. Anstice: Yes, I -- we definitely expect and I think the industry expects to receive orders and ship product into, at least, 1 3D NAND fab this year. But I think you described the situation quite accurately. There is a reasonable divergence of timing, as well as ultimately, process flow decisions for our customers. And that doesn't help any of us in terms of kind of answering some of these questions concisely. But uncertainty is there. It does appear there's a reasonable timeline difference between first adopter and last adopter.
Operator: Our next question is from the line of Satya Kumar with Credit Suisse.
Satya Kumar - Crédit Suisse AG, Research Division: Martin, I was wondering if you could add any color at all in terms of how the profile might look like as we get past June. Your guidance obviously implies that you're thinking about a flattish shipment level in September and December that lifts up in [ph] June. But I was wondering if we should expect some lumpiness and, perhaps, a decline in September and an increase in December as some of the foundry buying comes off and you get some other memory coming in later towards the end of the year?
Martin B. Anstice: Well, I think in terms of -- yes, in terms of the specifics, obviously, we're not going to give guidance beyond the most recent quarter. But certainly, relative to the September period, you've got a nice reference point around the trajectory because the shipments guidance we've articulated is meaningfully stronger than the revenue guidance. And I do think the balance of spending in the year that you will remember from our last call was kind of -- was different than where it is today. We've seen the strengthening in DRAM in the first half and the strengthening in NAND in the first half relative to our original expectations. So our first half, second half view today is high 40s, low 50s. And I would expect the areas of spending in the remaining 28, the broadening of the foundries in the memory space and in 20, I mean, we've got pretty decent position so I think that is -- that bodes well for us and is a positive for the company in the second half. But time will tell.
Satya Kumar - Crédit Suisse AG, Research Division: And a quick follow-up I guess like you're not changing your view on wafer fab equipment spend. I was wondering if you could remind us of the controversy on this. What is your expectation in terms of wafer capacity adds, speculatively for flash, for planar and for 3D in the back half of the year? Just looking out beyond the second half of this year, do you see shelf space as a potential constraint in terms of expanding wafer capacity for NAND?
Martin B. Anstice: Yes, I think the answer to the last of that question is not really. I mean there's decent amount of SaaS space, whether it's in the right location at the right time, is obviously, an important question. But I don't expect there to be a clean room limitation, per se. And we're assuming in the range of 100,000 wafer starts of capacity being added this year and some part of that is kind of a very original investment, new capacity and some part of it is a transition from the DRAM space to NAND flash. If you look at the spending, so we're assuming a little more than $6 billion of spending for WFE. The additions we would estimate around the $3 billion level and the conversions we would estimate around the $3 billion level. So that's kind of a math of the data points we shared previously. I think the demand statement for NAND flash is a very positive one and certainly I would expect it to be more positive next year over this year when you look at the tablets, when you look at content, when you look at the smartphone, when you look at SSDs and the intercept points and generally assumes penetration for those products. We're going to end the year ready tight again. I mean, if these plans play out, there's not going to be whole bunch of anything sitting there waiting to be utilized and I think inventory levels generally have kind of gotten to a normalized level. So it would seem rational to conclude that spending in the NAND flash space is more likely than not and time will tell again.
Operator: Our next question is from the line of Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Martin, I just wanted to clarify the comments you made on NAND flash 3D. I think you said previously that you expect 20,000 wafer starts at 3D capacity to be added in the back half of the year. Do you still expect that sort of magnitude of capacity added in the back half? And then, when you make your comments about OpEx for the year, do you assume Peter Wolters in that number? Or does it exclude and how should we think about that business -- I think you were looking to split that off some point this year.
Martin B. Anstice: Yes, until it's not part of the company, it's part of the guidance of the company. It's not the most material components of the financial statements so you might want to remember. So relative to -- what was the first part of the question, now it's gone?
Unknown Executive: 3D NAND.
Martin B. Anstice: Sorry, 3D NAND. So I would say the 20,000 wafer starts, plus or minus, 5 is a reasonable assumption today and when we make those statements, we're talking about capacity we're shipping, right? So what form it eventually takes in terms of being available to service demand, there's a bunch of questions still remaining on that. And that's about qualification, processes, and it's about the very specific decisions of the customer that we don't clearly influence.
Operator: Our next question comes from the line of Weston Twigg with Pacific Crest Securities.
Weston Twigg - Pacific Crest Securities, Inc., Research Division: I was just wondering if you could help elaborate a little bit on the impact of double patterning expectations this year to your revenue assumption?
Martin B. Anstice: Yes, I mean, it's pretty important to say the least. It's one of 4 significant inflections for the company. So just to kind of refresh on that, our big focus in terms of positioning for growth in the company was around patterning around the planar the FinFET transition, the planar 3D NAND transition and through silicon via. And we believe in the transition from 28 nanometers to 20, that there's an incremental $20 million to $30 million of opportunity for the company in etch per 10,000 wafer starts. And if you skip forward 1 generation and obviously, our ability to be concrete about it is kind of limited. But we would expect that to be another kind of 30% to 40% higher than the numbers I've just kind of given you. So I think there's emerging clarity around when EUV can theoretically and practically intercept. And with a bunch of customers being out there with comments I won't supplement that today. But patterning is a very real opportunity to increase the SAM of our company and certainly, we would expect our share in those opportunities to be at least as good as the rest of our business.
Satya Kumar - Crédit Suisse AG, Research Division: Okay. And then do you benefit, somewhat, from the logic transition, as well as the foundry transition this year to double patterning?
Martin B. Anstice: I would say probably not to the extent that you would like that to be true.
Satya Kumar - Crédit Suisse AG, Research Division: Okay. Perfect. And then just one more question on the 450 million millimeter impact to R&D. You maintained your OpEx cap for the year, but talked about equity investments in R&D. I just wondered if you could reconcile those 2 thoughts?
Martin B. Anstice: Yes, I mean, they were planned. So when we made the statements, 3 or 5 we knew what our baseline was for 450 spending and it's generally the same today as it was 6 months ago, certainly one change in either direction. I mean, the important thing about 450 is the time the investment to the expectations of customers. We don't want to be early, we don't want to be late, we want to be on time and that's a very difficult decision for the company and for anybody in the industry because practically speaking, 2018 is probably the earliest, maybe there's 2017 statement out there for somebody, but 2017, '18 is about the earliest that HVM is going to be real and so every dollar we spend in the years prior to that increases the pressure for everybody in terms of return on investment. So same assumptions today in timing from customers and therefore, same plan in OpEx for the company.
Operator: Our next question is from the line of Patrick Ho with Stifel Nicholas.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc., Research Division: Martin, maybe if you could comment a little bit about the foundry spend because we've heard now from TSM on their earnings about increasing their CapEx and talking about accelerating 20 nanometers. How does that impact, I guess, your shipment guide for both June and just how we look at second half of the year from that perspective?
Martin B. Anstice: Yes, I mean, yes, maybe I should remind everybody every time I make a statement about WFE, I did say plus or minus $2 billion when I made the statement of $30 billion and I think I repeated that in every prior call. It's tough to be super precise about these numbers. But I think $30 billion is a reasonable midpoints in all of this. As you know, TSMC has strengthened their outlook. We don't have segmentation per se in our guidance. But in the June shipments number that we've given you, we would expect that the NAND and DRAM component combined represents about 50% of system shipments and foundry represents about 40% of system shipments. So TSMC was super strong in the first half of the year at the 28 nodes as everybody knows as they talked about. And 20 becomes more important for them in the second half and there is a broadening of other foundries in at 28 and some at 20 as well. So I feel like the 30 number -- I tried to anticipate where things were going to go. It wasn't exactly mirroring the public announcements at the time we said it, but it was our best estimates and that continues to be true today.
James Covello - Goldman Sachs Group Inc., Research Division: Okay, great, now that's actually pretty helpful. Looking at the deposition market for you guys as a whole -- you mentioned the opportunities both in -- for 3D NAND and advanced packaging. Which opportunities do you see gaining traction on a high-volume manufacturing basis first on the 3D side of things or in the advanced packaging/TSV?
Martin B. Anstice: No, I think by virtue of market size the 3D NAND is the biggest number. And frankly in any scale, it's the one that moves faster. So you should definitely process -- there are 3 or 4 catalysts for growth with our deposition products, one of them is just basic increases of competitiveness in the products, some of which come from the standalone company and some of which come as we integrate learning across the product portfolio of the company post-merger, so that's kind of one part of the story. The second part of the story is leveraging -- establish customer relationships that existed for Lam that were not quite as strong for Novellus. And by the way, there were a couple of examples of that in the other direction, so it's true for the entire business. But the biggest SAM expansion is clearly in the 3D NAND space. It's a very significant change for the industry. And our positioning in terms of DTOR [ph] selection decisions is really quite positive. TSV is obviously, growing very quickly and is an important opportunity for us in the deposition products of the company are the ones that are most successfully penetrated in that area. Actually, one of the synergy kicks that we get us is we're kind of taking that position and trying to kind of broaden it across the portfolio of the company generally. So 3D NAND, I guess, is the simple answer to your question.
Operator: Our next question's from the line of Stephen Chin with UBS.
Stephen Chin - UBS Investment Bank, Research Division: Martin, can you remind us what your updated thoughts are on the WFE spend for 10,0000 wafer starts for 1Y [ph] NAND and maybe compare that to [indiscernible] and 3D NAND?
Martin B. Anstice: I don't think we've ever gone through that level of detail. And on the fly, I'm inclined to decline to answer your question. So if you have another question, I'm happy to take that.
Stephen Chin - UBS Investment Bank, Research Division: Okay. Sorry, sure. Maybe let me try it this way, can you give us, maybe your thoughts on what's the CapEx for 10,000 wafer starts of NAND in 2013.
Martin B. Anstice: Yes. I mean, we have -- we got an assumption for capacity additions in the range of $350 million per 10,000 wafer starts. That's our kind of baseline for additions and we assume that conversions are in the $60 million range. Now you should kind of put a plus or minus 5 or 10 percentage points on those numbers, but that's the baseline for the company. And I believe I previously communicated that about 80% of the spending is in a planar device structure. I think holistically, I believe that, at least, 1 semiconductor company spoke to this in the last week, there are still some unanswered questions around equipment reuse in the planar to 3D transition. What is very clear to everybody is that the lithography road map gets relaxed meaningfully and the deposition road map, particularly significantly expands. So I would caution you to kind of be very clear around the headline for WFE and also the headline for the segments because the story just as is true in logic, is quite different by segments and it's very different in the NAND space and 3D NAND.
Stephen Chin - UBS Investment Bank, Research Division: Very helpful and then just a follow-up. Question on the clean business. You have a big tool refresh coming in the second half of the front end. Is that an upside to possible share gains that, that you -- upside to your second half estimate? Or is that included in your guidance?
Martin B. Anstice: Well, it's included in the guidance to the extent it's there, but practically speaking, the release of the product in the year isn't going to impact in any material way the financial statements for the company. It takes a long time to position a product, get it qualified and get it into a high-volume manufacturing environment. It is clearly the only reason why we are able to describe a 5 to 10 percentage point market share objective for the clean business and we have a very important year this year, to demonstrate that capability to our customers in their fabs, and we're on plan to do that.
Operator: Our next question comes from the line of Jim Covello with Goldman Sachs.
James Covello - Goldman Sachs Group Inc., Research Division: Martin, sort of -- we've been around this issue, but maybe not addressed it directly. So you guys and ASML have pretty much articulated the 100K plus NAND wafer starts in 2013. People like Samsung and SanDisk and HInext have all said they're not going to add any wafer starts. Is that just you think those guys not going to show their hand, which I know happens sometimes? Or is there any reason for the delta there?
Martin B. Anstice: Yes. I'm experienced enough to know that answering that question directly gets me into trouble. But so you got to make it what you can. I mean, we are doing the best we can to articulate the world as we see it. Which doesn't mean it's perfect, but it's the best information that we have at hand. I've been very clear and I think consistent again today that the NAND space is clearly the most difficult to predict for the reason that you've just described. And we're doing the same thing, which is to give you the best view that we can and unfortunately, the reason you get the big box is you get to triangulate around our comments.
James Covello - Goldman Sachs Group Inc., Research Division: I wish. And maybe one sort of logistical thing around that. And part of this is, I know it's going to be tough to answer another part. Your industry perspective could be helpful. Somebody like an ASML where the lead times are 9 months, didn't really see a lot of NAND orders, saw very good DRAM orders and maybe part of the answer is DRAM is making up the difference. But if we didn't get a lot of lithography orders for NAND in the first half of the year and the lead times are 9 months, it's hard to understand how you could order the tools in July, get them installed by sometime in the second half and then bring that stuff up online such that you then need to order etch equipment to support that litho equipment. Is there something different about that dynamic or again, maybe part of the answer is that we should be thinking about memory as a whole and DRAM is a lot better?
Martin B. Anstice: No, I think having a conversation around NAND is just fine. I mean, I -- there's a decent component for the industry of conversions, right? I mean there's about 0.5 million wafer starts to conversion likely in NAND flash this year and that's a lot of spending, that's approximately $3 billion of spending. What is very clear to everybody is, as I just stated, the 3D components of NAND spending is going to be probably quite limited at the beginning for lithography generally because the entire scheme is more relaxed. And so the [indiscernible] opportunity I would imagine is quite significant. We're not the experts speaking to that, we are the experts speaking to etch, depth and clean. And certainly, I think there can be some situations where you will not see lithography spending in NAND when you do see other segments. And to be fair, I'll spin it to the other direction in logic, for example, you should expect to see some spending in the lithography space when you might not always see to the same extent spending in other segments. So the segment stories are really important this year. The 3D NAND and NAND generally is beneficial to the etch and depth space nicely and we got some really nice messages, like patterning, like TSV in the logic space as well. But in terms relative to lithography, it's tough to keep up with that success.
Operator: Our next question comes from the line of Terence Whalen with Citi.
Terence R. Whalen - Citigroup Inc, Research Division: I just want to start by congratulating and welcoming Doug to Lam. Very happy that you can make the transition from [indiscernible]. I look forward to working with you. So the first question that I have is I want to understand your perspective on progress and timing of foundries since that. Specifically I wanted to understand how the depth of your engagement with Foundry customers changes since that configuration versus the planar?
Martin B. Anstice: I'm not sure I necessarily understand everything in your question. I mean in terms of depth of engagement per se, I mean, we're as active in any device flow and structure as the customer. Its the opportunity for us in etch and depth kind of ballooning in a planar to FinFET transition logical? Answer to that question is no. I mean, there are some applications where there's maybe some increased process flow or process time. But generally speaking, the etch and the deposition spaces are reasonably agnostic to a planar to FinFET transition, obviously, some of the challenges get a lot harder like conformality and CD control and profile and high aspect ratio challenges. I mean, that's a very different game and that ultimately will influence the amount of equipment that gets purchased because process time is everything and it will ultimately influence how much we get to charge for a capability we deliver to the customer. And there's a decent set of unanswered questions in that area today. So 5% or 10% would be a baseline I will give you on our SAM expansion in the planar to FinFET.
Terence R. Whalen - Citigroup Inc, Research Division: Okay, terrific. The second question that I had was a quick question on gross margin. We're seeing 20% shipment growth and 15% revenue growth. I would have expected gross margin fallthrough to be slightly better. I just wanted to better understand some of the puts and takes there and whether there are any special charges included in that gross margin?
Douglas R. Bettinger: Terence this, Doug. No, there are no special charges included in anything here. You have a lot of moving pieces here in terms of different product gross margin levels and you've got a lot of product mix things that go up and go down quarter-by-quarter. And that really is what you're seeing going on here. You're right, you would have expected maybe a little better gross margin everything else equal, but everything else isn't equal from a product mix standpoint.
Martin B. Anstice: I guess one of the things we would also emphasize is that the financial performance that we just guided is not so very far away from the financial model we shared from you in November of last year and certainly the commentary from the company around kind of mid-40s and ultimately when we're through kind of the synergy conversations and anything else we can figure out, maybe we even got a shot at slightly better than that. We're still a very, very, very focused on that part of running our company and we'll do our very best.
Operator: Our next question's from the line of Mehdi Hosseini with SIG.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: I had a question, actually a follow up to the previous one. When are we going to see the tool selection for the FinFET? Is it already in place? Or taking place? And I have a follow-up.
Martin B. Anstice: Well, I think you know what the stated public timelines are from the foundries to the extent they're out there and at least one is. So you've got kind of that data points available and I do expect ramping and I think this is in the public domain from our customers as well. Their ramping expectations are faster, bigger as every node transitions. So there's a decent amount of time between a high-volume manufacturing communication and a selection. And maybe 12 months is not a bad proxy. So go take a look at the committed dates for HVM for customers and back at 12 months and that's a reasonable stake in the ground.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: So the market share and who is going to claim what essentially at 2014 PR campaign, correct?
Martin B. Anstice: Yes. Certainly, I mean -- it's active now, quite clearly, because...
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: The data is not going to be available until the ramp takes place and that's more like a '14 timeframe.
Martin B. Anstice: Yes, we're not going to be sitting here communicating market share changes as a result of the FinFET transition in foundries any time soon, that's a correct statement.
Mark J. Heller - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then with 3D especially with the first question, there's a lot of confusion. Does it make sense for your customers to have a pilot line, 20K and then it's going to take them some months to figure out the recipe because there are different technologies, there's an IP issue and at the end of the day, that 20 pilot line may not be producing too many NAND chips for quite some time. Isn't that a fair assessment?
Martin B. Anstice: Well, I mean, there's a limit to how specific I can get because there are only -- very limited kind of customer presence in this space. But I mean, it is a very complicated technology, pilot line is an important place to validate that. But I would say, although there is clearly a lot of choices to be made in the industry on process, you can reasonably assume when we're this close to capacity hitting a fab, any customer where that's true is pretty clear what path they're on.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: I see. Is it just the customers haven't shown their hands because there are few of them.
Martin B. Anstice: Well, they've shown their hands to us in terms of the engagements we have, but I'm not at liberty to describe them.
Operator: Our next question is from the line of Edwin Mok with Needham & Company.
Edwin Mok - Needham & Company, LLC, Research Division: One question on the foundry gain. Maybe I can phrase it differently. Based on the share gains and potential increase etch with double-patterning intensity, how do you think your revenue opportunity can increase from 28-nanometer to 20-nanometer and then as we get to 14-nanometer, which is Foundry has talked about a FinFET and road map. How does that benefit you in terms of revenue opportunity?
Martin B. Anstice: I think the best way to answer that question is to kind of refer back to 3 to 5-year objectives we have, because that's the timeline that's relevant to the technology nodes you just talked about from a high volume manufacturing point of view. So you can approximate a $4 billion SAM for etch and you know that we're seeking a 3 to 5 percentage point share again in that market. You know that to 2% to 2.5% is a reasonable SAM for the deposition markets that we target and you know that we're -- our objective is 5 to 10 points -- sorry, 4 to 8 points of share gain. And the single-wafer clean market is about $1.5 billion of SAM and we're targeting 5 to 10 percentage points of share gain. But because that's generally a by-product of the new product, it will tend to be biased toward the back end of the timeline, not at the beginning. So if you take those the data points, you're going to answer very, very specifically what the revenue growth opportunity is with the company and systems and then the unanswered question is what happens in the installed base and we have significant objectives in the installed base business. The company [indiscernible] that will naturally come from broadening an install base beyond the 35,000 modules that exist today for the company. And the service offering and the productivity solutions offering of the company is something we're very focused on building and so there's a nice opportunity to supplement the system statement with customer service business as well.
Shanye Hudson: And I believe we have time for 2 more questions.
Edwin Mok - Needham & Company, LLC, Research Division: Actually, can I do my follow-up quickly. So on your [indiscernible], you talked about revenue synergy around $100 million by the end of this year from the Novellus acquisition, I was wondering if you can give us an update on that?
Martin B. Anstice: It's executing to the plan. It's only the first quarter in a 4-quarter period. So we still have work ahead of us, but I feel pretty pleased that it's executing to the plan we have.
Operator: The next question comes from line of the Ben Pang with B. Riley & Co.
Benedict Pang - B. Riley Caris, Research Division: Two quick ones. First on the DRAM shipments, can you comment on what you expect for the pattern for DRAM shipment for the rest of the year? You kind of talked about the puts and takes on foundry, as well as on NAND how about DRAM?
Martin B. Anstice: So I mean, in our last earnings call, we thought DRAM WFE was going to be 50/50 first half, second half. We would now say that 65/35 is the better split. So it's a stronger first half than the second half. And that's all -- and obviously, that's additions and conversions combined.
Benedict Pang - B. Riley Caris, Research Division: Sure. And my second question is back on NAND topic. Can you guys tell from your, I guess, systems, is there a difference in the lead time if they're requesting an etch tool for 3D NAND versus planar?
Martin B. Anstice: No.
Operator: Our final question comes from the line of Mark Heller with CLSA.
Mark J. Heller - Credit Agricole Securities (USA) Inc., Research Division: Last, but not least. Quick question on the logic etch win that you guys were talking about last quarter. I'm just wondering, can you could give us an update on when that starts to ramp and maybe if you can give us an idea of the benefit this year in terms of revenues?
Martin B. Anstice: So I think I described it as an active production buy. So it is kind of ramping this year, consistent with that -- the selection. And in terms of the size of the opportunity, we have respected the wishes of our customer not to describe that.
Mark J. Heller - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then if I can follow up on the 450-millimeter spending. How should we think about that longer-term? Will Lam maintain sort of dual development platforms or a 300-millimeter platforms and 450-millimeter platforms separately and just wondering how we should think about the level of R&D spending going beyond this year and maybe the economics for the company?
Martin B. Anstice: In terms of platform architecture, I think generally speaking, the industry is going to answer that in a pretty consistent way. The opportunities that exist, the opportunity just for kind of productivity types of solutions in the 300 to 450 transition are quite different than existed in the 200 to 300. There are commonalities being designed in, in terms of fundamental technology and in the case of Lam because we have a broader product portfolio today, we're able to bring kind of, common platform, common software solutions to the products of the company, but I don't think you're going to see too many examples of bridge tools between 300 and 450 in ways that you did in the 200 and 300 transition, which means to the extent there is misalignments in the plans of our customers or even to the extent that our customers who do not transition to 450, there's a fair amount of complexity that rests on the shoulders of the equipment industry because we are likely going to have to run for multiple generations in multiple years parallel investment. Now, whether the investments of next year is any higher from this year is a question, frankly, none of us can answer right now because the specifics of plans of customers are still likely to be in flux. And we have no interest in spending money earlier than we have to. So we're going to be pretty attentive to that. And we watch this space. But frankly, we're probably going to be having this conversation for the next 5 years.
Operator: Gentlemen, that's our final question. I'd like to turn the conference back to you for any closing remarks.
Shanye Hudson: Thank you, Vince. We want to thank you today for joining us. And I'll remind you that an audio replay of the call will be available on our website later this afternoon. On behalf of the entire management team, we appreciate your interest in Lam Research and have a good afternoon.